Operator: Good day, and welcome to the Rain Therapeutics Second Quarter 2022 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Bob Yedid. Please go ahead.
Bob Yedid: Thank you, operator, and good afternoon, everyone. With me today on the call are Avanish Vellanki, Chief Executive Officer of Rain Therapeutics; Nelson Cabatuan, SVP of Finance. During today’s call, Avanish will provide an overall business update, including Rain’s clinical programs and research efforts, and Nelson will review the financials. Before we begin, I’d like to remind you that statements made during this conference call that are not historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based upon Rain’s current expectations and involve assumptions that may never materialize or may prove to be incorrect. Actual results may differ materially from those anticipated in such forward-looking statements as a result of various risks and uncertainties as described in Rain’s annual report on Form 10-K for the year ended December 31, 2021, and subsequent filings with the Securities and Exchange Commission. All forward-looking statements made during this conference call are based on management’s assumptions and estimates as of today, August 4, 2022. Rain undertakes no obligation to update such statements to reflect events that occur or circumstances that exist after today, except as required by law. With that said, it’s my pleasure to turn the call over to Avanish Vellanki, CEO of Rain Therapeutics. Avanish?
Avanish Vellanki: Thank you, Bob, and thanks to everyone for joining us for our second quarter earnings call. We are pleased to share updates today on our two ongoing clinical trials, the MANTRA Phase 3 registrational trial in patients with liposarcoma, and the MANTRA-2 tumor-agnostic basket trial in advanced solid tumor patients exhibiting MDM2 gene amplification. We’re going to have a different format on this call with prepared remarks from myself and Nelson Cabatuan, Rain’s Senior Vice President of Finance, and then move more quickly to Q&A, where we’ll be joined by our President and Chief Scientific Officer, Dr. Bob Doebele; and our Chief Medical Officer, Dr. Richard Bryce. First and foremost, we announced earlier this morning that we have completed enrollment in the Phase 3 MANTRA trial in patients with well-differentiated dedifferentiated liposarcoma. As at the end of July, we completed enrollment with 175 patients, exceeding our 160-patient target, and five months ahead of our prior year-end guidance. We saw a clear acceleration of enrollment since our update call at the end of the first quarter of this year, at which point we announced we were approximately half enrolled. We believe this speaks to the tremendous unmet need in patients with dedifferentiated liposarcoma, for which milademetan offers a targeted therapeutic strategy relative to standard cytotoxic options. We enrolled across 70 international sites in the U.S., Europe and Asia. As a reminder, this pivotal trial compares milademetan monotherapy to the approved agent Yondelis, or trabectedin. Milademetan was dosed at 260 milligrams daily for three days, followed by 11 days off therapy. We refer to this as the three out of 14-day schedule. We anticipate top line data from this trial in the first half of 2023. We also anticipate that if the MANTRA data are supportive, we would submit an NDA for milademetan liposarcoma in the U.S. with similar submissions in Europe and possibly other regions as well. Second, our Phase 2 tumor-agnostic MANTRA-2 trial is progressing as planned with 11 sites activated in the U.S. to date and additional just-in-time sites opening as necessary from referrals from the Tempus and Carus genomic testing services. To recap, this trial is evaluating milademetan in multiple solid tumor types in patients with p53 wild-type tumors that exhibit high MDM2 gene amplification at a copy number of 12 or greater. We anticipate enrolling approximately 65 patients across a range of solid tumors and using the same dosing regimen as in the registrational MANTRA trial and continue to anticipate interim data of the first 10 evaluable patients in the fourth quarter of this year. We continue to anticipate commencing two additional trials before year-end, both the MANTRA-3 trial in Merkel cell carcinoma, and the MANTRA-4 trial, evaluating the combination of milademetan with a checkpoint inhibitor, Roche’s atezolizumab in patients with p53 wild-type advanced solid tumors that exhibit loss of the gene CDKN2A. Also, at the recent annual ASCO meeting, we presented preclinical data detailing the rationale for the MANTRA-4 trial. New preclinical data across multiple in vivo tumor models with CDKN2A loss and wild-type p53 supported potential synergy of milademetan and an immune checkpoint inhibitor in this genetic subset. We remain very excited about the potential for the MANTRA-4 trial and its strategy. With that, I’d like to turn it over to Nelson to review our financial results. Nelson?
Nelson Cabatuan: Thank you, Avanish, and good afternoon, everyone. I am pleased to provide an update of our financial results for the second quarter ended June 30, 2022. I would also like to invite you to review our Form 10-Q filed today for more details. For the second quarter of 2022, we reported a net loss of $17.6 million compared to a net loss of $8.2 million in the second quarter of 2021. Research and development expenses were $14.3 million in the second quarter of 2022 as compared to $5.5 million in the second quarter of 2021. The increase was primarily driven by R&D costs mainly for our lead candidate milademetan from the ongoing Phase 3 MANTRA clinical trial, our ongoing Phase 2 MANTRA-2 trial as well as personal costs. As of June 30, 2022, Rain continues to have a strong balance sheet, with $106 million in cash, cash equivalents and short-term investments. We anticipate that our second quarter cash position will provide runway into mid-2024, and we believe that the milademetan program is well funded. With that, I’ll now turn the call back over to Avanish.
Avanish Vellanki: Thanks, Nelson. Rain continues to focus on the clinical execution of our milademetan program, and we’re thrilled with the rate of progress thus far, particularly with enrollment now completed in our registrational Phase 3 MANTRA trial five months earlier than previously guided. Rain anticipates a broad clinical data set for milademetan, with a steady cadence of updates over the next two-plus years. We look forward to Phase 3 MANTRA data in the first half of 2023. With that, we’ll have Dr. Bob Doebele and Dr. Richard Bryce join us and available to answer questions. Operator?
Operator: Thank you. [Operator Instructions] We’ll take our first question from the line of Michael Schmidt with Guggenheim.
Yige Guo: Hey, good afternoon. This is Yige on for Michael. Thanks for taking our questions, and congrats on the earlier than expected enrollment for the MANTRA. I guess, we’ll start with the question on LPS. So one competitor has presented some early data at ASCO on its MDM2 inhibitor in LPS. So what do you think of the potential read-through from the presented data to milademetan’s competitive positioning into the ongoing MANTRA study? And I have a follow-up. Thank you.
Avanish Vellanki: Yige, this is Avanish. Thanks for the question. Let me turn the question over to Bob.
Bob Doebele: Thanks for the question, Yige. Of course, we’re not going to comment on [indiscernible] however, we have the BI’s entry into the MDM2 space validates our approach at Rain using MDM2 as a validated cancer target in select patient populations.
Yige Guo: Got it. And then I guess, as a follow-up, can you elaborate your current thinking and consideration around the first-line strategy in LPS, either with mila monotherapy or maybe perhaps even in combination with other agents? Thanks.
Avanish Vellanki: Yes, I’m happy to take that one, Yige. So obviously, we want to wait on MANTRA results before starting to articulate subsequent plans. So I think that’s first and foremost. But I think we will comment that, if successful, if MANTRA does have a successful outcome, our expectation would be to expand the opportunity across multiple indications inclusive of frontline liposarcoma. But we don’t want to get into the details of what that looks like at this moment in time.
Yige Guo: Okay, great. Thank you very much.
Avanish Vellanki: Absolutely.
Operator: We’ll take our next question from the line of Joe Catanzaro with Piper Sandler. Please go ahead. Your line is now open.
Sam Kurtz: Hi. This is Sam on for Joe. Thanks for taking our question. Could you just provide a little more detail on what you think drove this acceleration in enrollment? And then now with the rapid acceleration, do you think that the top-line data can now come maybe in the early part of first half 2023?
Avanish Vellanki: Hi, Sam, thanks for the question. Let me turn it over to Richard.
Richard Bryce: Sure. Happy to answer that. So I think this speaks to two things. First of all, I do want to take this opportunity to call out the excellence of our clinical team and our collaborative partners to – with this achievement, this incredible enrollment into the study in the last six months. And I think that surpassed expectations both at our level and the physician level. What does it mean beyond that I think it’s important. It underlines or underscores the tremendous enthusiasm amongst physicians and patients for a new treatment option, particularly a targeted treatment option for patients with dedifferentiated liposarcoma, which, as we know, is MDM2-amplified by definition. And so that’s really reflected in the enormous enthusiasm to enroll into the study, and we would expect to see that play itself out in future trials and in future circumstances, hopefully, if the study is positive, in the commercial setting as well.
Sam Kurtz: Great. Thank you.
Operator: We’ll take our next question from the line of Jeff Jones with Oppenheimer. Please go ahead. Your line is now open.
Jeff Jones: Thank you, and good afternoon, guys. I guess, two questions from me. On the MANTRA-2 basket trial, any idea what kind of duration of response data you’ll have in hand when that reads out top line end of the year? And then the second question, any updates on the RAD52 program.
Avanish Vellanki: Hi, Jeff, thanks for the question. Let me turn that question over to Bob.
Bob Doebele: Yes. So to answer the first part of the question regarding MANTRA-2, we’ve messaged in the past that we expect to have 10 patients with a meaningful operational follow-up. This would be at least four months or approximately two scans for those patients as well as the mean duration and that expectation has not changed. Regarding your second question on the RAD52 program, we are continuing to progress that project. And we’ve signaled in the past, however, that we have mitigated spend on that to focus on milademetan. And based on that there’s some progress in the RAD52 program.
Jeff Jones: Great. Thanks.
Operator: [Operator Instructions] And we’ll take our next question from Soumit Roy with Jones Research. Please go ahead. Your line is now open.
Soumit Roy: Hi, everyone. Possibly this is a question for Bob. I was wondering, as we are saying in multiple Phase 3 trials, the standard of care or the control arm is outperforming their historical data anything that possibly due to better tumor monitoring or better supportive care. So curious to get your thoughts on if you think the control arm could outperform the seven-year or eight-year old historic data or whether if there is any concern for that?
Avanish Vellanki: Thanks for the question, Soumit. Bob?
Bob Doebele: Yes. No, I think this is – we’re looking at data, obviously, from the registrational trial of trabectedin, which is the control arm in our trial. That is a modern clinical trial with robot subset analysis, and we see no indication to expect that the trabectedin will outperform in the MANTRA study compared to its registrational value.
Avanish Vellanki: Let me add, Soumit, that it’s of course difficult to predict. But as a reminder, in terms of the clinical trial design for MANTRA, we actually did assume that the control arm would modestly be improved its efficacy from the registrational study. So we did actually anticipate a potential improvement, but still anticipate an opportunity to succeed…
Soumit Roy: Great. I have a quick second question, if I may. Are you allowing crossover from a control arm in the trial, MANTRA trial?
Avanish Vellanki: No, we’re not. There’s a crossover in MANTRA.
Soumit Roy: Thank you so much for taking the questions, and congratulations on the fast enrollment.
Avanish Vellanki: Thanks, Soumit.
Operator: We’ll take our last question from the line of Tony Butler with ROTH Capital. Please go ahead. Your line is now open.
Tony Butler: Yes. Thanks very much. I just wanted to ask about MANTRA-4 since it’s one of the things we haven’t discussed this evening in detail given the population size and the opportunity for the compound in that CDKN2A population. And as you’re looking forward to that trial, I would think that the number of sites that could or would like to participate would be quite a few. Could you just provide a brief discussion, if I may, on are you thinking about a small number? Or would this – would you get in with both feet and perhaps expand it, including international – even if it is a Phase 1 I understand?
Avanish Vellanki: Let me – thanks for the question, Tony. Let me turn the question over to Bob.
Bob Doebele: Yes. Thanks for the question. Obviously, the MANTRA-4 study is very similar to the MANTRA-2 study, which is ongoing in the fact that this is a basket design, all comers solid tumors genetically selected patients. So we hope to take the learnings from the MANTRA-2 trial into the MANTRA-4. You could expect probably some overlap in terms of the sites that we’d use. Obviously, as you mentioned, the population is far larger for the CDKN2A loss population, and therefore, we would expect enrollment on a per-site basis to be much, much faster given patient population of those. So hopefully, that answers your question.
Tony Butler: Thank you, Bob. Appreciate it.
Operator: That concludes today’s question-and-answer session. I’d like to turn the conference back over to Mr. Vellanki for any additional closing remarks.
Avanish Vellanki: Thank you, operator, and we want to thank everyone for joining us on this quarter’s earnings call, and we look forward to updating everyone on our progress over the next quarter. Thank you.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.